Operator: Good morning or good afternoon all and welcome to today’s Four Corner Property Trust Fourth Quarter 2021 Financial Conference Call. My name is Adam and I will be your operator today.  I will now hand you over to Gerry Morgan to begin, Mr. Gerry, please go ahead when you are ready.
Gerry Morgan: Thank you, Adam. During the course of this call, we will make forward-looking statements, which are based on beliefs and assumptions made by us. Our actual results will be affected by known and unknown factors including uncertainty related to the remaining scope, severity and duration of COVID-19 pandemic that are beyond our control or ability to predict, our assumptions are not a guarantee of future performance and some will prove to be incorrect. For a more detailed description of some potential risks, please refer to our SEC filings, which can be found at fcpt.com. All the information presented on this call is current as of today February 17, 2022. In addition, reconciliation to non-GAAP financial measures presented on this call such as FFO and AFFO can be found in the company's supplemental report also available on the website. And with that, I'll turn the call over to Bill.
Bill Lenehan: Good morning. Thank you for joining us to discuss our fourth quarter results. I'm going to make introductory remarks. Patrick Wernig will review some details around acquisitions in the pipeline. And then back to Gerry and Niccole Stewart, our Chief Accounting Officer to discuss the financial results. In summary, we continue to have industry leading collections at 99.8% for the quarter, our occupancy improved to 99.9%. Our restaurant and other retail tenants are experiencing top-line performance often above pre-pandemic levels. We also acquired 33 properties in the fourth quarter characterized by low rents and high-quality tenants. We reported fourth quarter AFFO a $0.41 per share, which represented a 10% increase year-over-year. Full year 2021 AFFO per share was $1.56 or 8% increase compared to 2021. One item I do want to point out here is that those AFFO figures included the impact of Kerrow restaurants, our LongHorn Steakhouse offering businesses San Antonio. Kerrow had a weaker 2020 due to the impact of dining restrictions in the early days of the pandemic. But the business fully rebounded last year with a strong result of $2 million positive EBITDA. We're very excited about their results and outlook for 2020. But we understand many investors focus on our core contractual recurring rent revenue. If we remove the impact of Kerrow on our AFFO growth for both 2020 and 2021, and instead just focus on our core real estate operations. AFFO grew by 8.1% in Q4 and 6.3% for the full year as compared to 2020. We thought this nuance was worth highlighting. Moving on to our tenants performance restaurant operators continue to have strong results in the most recent quarter, quick service restaurants are operating at approximately 118% of 2019 weekly levels and casual dining is operating in line with 2019 levels even with the recent cold weather in much of the country. Our two largest tenants, Darden Restaurants and Brinker International, announced their earnings publicly in the past two months. Those were highlighted by strong sales comps versus last year and pre-pandemic periods as compared to the same quarter two years ago, average store sales at Olive Garden, LongHorn and Chili's have increased by 5.2%, 22.3%, and 5%, respectively. Combined, these brands represent approximately 66% of our rental revenue, and are just a sample of the positive performance we're seeing amongst our portfolios, restaurant tenants. We remain highly confident, we've aligned our portfolio with best-in-class operators, and the results are continuing to speak for themselves. Turning to investments, which Patrick will detail in a moment, we acquired 33 properties in the quarter for a combined price of 70.5 million and an initial cash yield of 6.4%. The acquisitions represent strong tenant credit profiles. The group includes three dual tenant properties and 34 of the 36 leases are with corporate operators. The fourth quarter's investments include 10 new brands bringing us to a total of 104 brands in the portfolio. In total for 2021, we acquired 257 million across 122 properties. Taking a step back to put that 257 million figure of new investments into perspective and compares 223 million in 2020 and 199 million in 2019. This represents average growth of 14% and acquisition volume in the next -- in the last two years and demonstrates how our investment platform and widening segment exposure has allowed us to consistently increase our volumes. With that, I'll turn it over to Patrick for some additional comments on recent acquisitions in the overall investment environment.
Patrick Wernig: Thanks, Bill. I'd like to start by touching on our ongoing efforts in diversification. Darden makes up 59% of our rental revenue and restaurant properties overall are 90% with non-restaurant properties at 10%. We remain anchored to Darden in the restaurant sector, but we're now seeing meaningful portfolio exposure and other areas of service oriented retail as well. For the year, restaurants accounted for 39% of our new investments and auto service was 36%. Medical retail was 18% and the remaining seven was other service oriented retail. We've been pleased with the opportunities that we're seeing and while these categories remain our primary focus for new acquisitions, we'll continue to evaluate investing in adjacent retail categories as well. Our core competency is finding value in strong real estate with quality operators and this focus will continue regardless of the sub-sector. Pricing for assets in 2022 year-to-date, has been consistent with 2021 levels. The rising interest rates and volatility we've seen in public equity markets recently has not yet translated to private market cap rates. Generally, private market cap rates tend to lag the public market by several months. So we may see some relief on cap rates later this year, the current expectations for rate hikes and a pullback in fed stimulus hold. In the interim, though, we're just being prudent to select opportunities carefully. We have also planning to take advantage of the seller's market with a few select disposition transactions. We do not anticipate selling more than a handful of properties over the course of the year as compared to recent years, you may see us be more opportunistic with dispositions as an alternative source of capital. Turning to our pipeline, we remain active in building a stable deals for 2022. Despite the pricing headwind, we still been able to build up the pipeline in the mid fixed cap rate area with high quality tenants and retail real estate. Our pipeline sector next for restaurants, auto services and medical is similar to what we did in 2021. One final reminder, historically, Q1 has been our low volume quarter for acquisitions. For example, in Q1' 21 and '20, we closed 34 million and 36 million respectively. Those ended up being 13% and 16% of our full year volumes. Now back to Gerry for discussion of our portfolio and financial results.
Gerry Morgan: Thanks, Patrick. A couple of numbers as we typically quote in the quarter, we generated 44.2 million of cash rental income for the fourth quarter after excluding 1.3 million of straight line and other non-cash rental adjustments. As Bill highlighted, we reported 99.8% of collections for the fourth quarter, and 99.9% for the year in total. No material changes to our collectability or credit reserves in the quarter nor any balance sheet impairments. On a run rate basis, our current annual cash base rent for leases in place as of the end of the year is 175.2 million and our weighted average 10 year annual cash rent escalator remains at 1.4%. Cash G&A expense excluding stock-based compensation for the quarter ending December 31, was 3.3 million representing 7.5% of cash rental income. Cash G&A for all of 2021 was 13.7 million. For your forecasting purposes, we expect cash G&A for 2022 will be under 15 million, representing approximately 7% growth. The increase is tied principally to compensation expenses, we focus on retention of our existing team and additional team members to bolster our investment and operating prowess. We continue to invest into technology and systems and improve the efficiency of the team as Nicole will expand on. Turning to the portfolio, we estimate the rent coverage to be at 4.4x for the fourth quarter which is on par with pre pandemic levels. I'll add two other statistics underlying the quality of our portfolio. First, we estimate a 5% rent to sales level for the original Darden portfolio, where rents were set at low level similar to ground leases, it is common to see restaurants with 8% to 10% of rent to sales figures. Secondly, we note that a full 10% of the portfolio now consists of ground leases where levels were set low, tied to the value of the land since the tenant typically constructed the building. Overall, the low rents in our portfolio, as we have reminded you before should lead to higher light lease renewal probability and give FCPT the ability to invest further into properties if needed to support tenant upgrades or retenanting. Turning quickly to the balance sheet and the quarter we issued 86.1 million of common stock on our ATM program at a weighted average price of $28.36 per share. This equity raise was greater than the acquisition volume in the quarter, which meant we delevered our net debt to EBITDA in the quarter from 5.8x to 5.4x. In December, we entered into agreement   125 million of nine and 10-year senior unsecured notes, which are scheduled to fund on or before March 17 this quarter. The notes priced at 3.10% and we feel fortunate for fixing the rate in December given the recent increase rates and spread environment. We ended the fourth quarter with 220 million of liquidity comprised of 6 million of cash and 214 million of availability on a revolver. Our fixed charge coverage for the quarter is 5.2. And as we mentioned earlier, our net debt to EBIT DA is 5.4x which is below our targeted range of 5.5 to 6. We paid a dividend in the quarter of 33.25, which was an increase of 4.7% over the previous quarter. And with that, turn over to Nicole for a few comments on accounting matters.
Niccole Stewart: Thank you, Gerry. In our fourth quarter financials, we recognized a one-time $864,000 non-cash tax benefit that arose from the removal of evaluation allowance, a net deferred tax assets at the Kerrow restaurant operating business. Now that Kerrow has achieved a three-year cumulative positive taxable income position, among other factors. These tax benefits are largely tax credits, like FICA tip credits and charitable food contributions that can be used to reduce taxes in the future for Kerrow. In accordance with the NAREIT definition of funds from operations, the tax benefit is included in FF O, but we backed it out in the calculation of adjusted funds from operations. We highlight this point in case any investor wants to similarly reflect this non-cash items in their calculation of FFO. I also wanted to comment that FCPT has been busy in 2021, implementing MRI software for accounting and financial reporting. As noted in our investor presentation uploaded to the website yesterday, the size of our portfolio has more than doubled since its inception, and the number of tenants has gone from one to over 150. This has also been true in other areas, such as accounts payable, where we have seen a significant increase in volume. In the past two years, we have added two senior accounting team members as well as staff level accountants to address the increased complexity and size of our portfolio. With this increase in staffing, and through the use of technology and increased process efficiencies, the accounting and finance team is now set up for future growth of the portfolio. Thanks. And with that, we'll turn it back over to Adam for Q&A.
Operator: Thank you.  Our first question today comes from Anthony Paolone from JPMorgan.
Anthony Paolone: My first question relates to the balance sheet. And would be interested in getting your thoughts and how you think about how much runway you want as a smaller company in terms of capacity. Because if you think about like the equity you did in the quarter, you can move the needle pretty quickly on net debt to EBITDA and you can do an overnight deal. And just really reduced leverage quickly. But I guess that could also go the other way, if we have equity market volatility and you get cut out of the equity market. So like, what do you think is the right sort of runway on the balance sheet to be able to continue your deal flow?
Bill Lenehan: It’s a terrific question, Anthony. Thank you. I think we tried to be operated opportunistic. So heading into the end of the year, we had had strong acquisition volumes, we knew we were going to end the year with a flurry of acquisitions. Our stock price was an elevated level compared to today. And we took advantage of it. So you just don't want to get behind the eight ball as far as your leverage metrics, and we've just tried to keep the balance sheet in imprudent shape. I think the other thing that's in the back of our minds is -- in our minds due for an upgrade in our ratings, so wanting to make sure that we keep those metrics in good shape as well.
Anthony Paolone: Do you think, like, because if you didn't do equity and you kept your acquisition pace for the next two, three quarters, it would seemingly, move your leverage up, maybe to six or something like that? Is that something you feel comfortable with or again, just given your size, like it can move in both directions quickly?
Bill Lenehan: For sure, we've stated our leverage target of being 5.5x to 6x and I don't have an exact figure off the top of my head, but I would say we've been below that 80% of our existence plus. So we just we've tried to make sure that we have room, we don't think six times is elevated. And so if we went there, that would be okay. But we haven't needed to today.
Gerry Morgan: And yes, and I would just remember, we talked about the low reps, the high coverage we have, that also translates into very high interest rate coverage. So our coverage today is over 5x. And so I agree with you, Bill, five, five to six is a metric at target, we've been below that much of the time, there's could be a short period time where we're above it, but the quality of the cash flow that supporting that interest expense is strong.
Bill Lenehan: And I would also just wholeheartedly agree with you, Anthony, that demand for our shares has been strong and a number of our shareholders have expressed interest in acquiring our shares in an offering. Thus far, the ATM has been more efficient way less expensive way for us to tap the equity markets.
Anthony Paolone: Got it. Okay. And then just a second question on the idea of reinvesting in the portfolio, which you mentioned, and also talked about in previous calls, just any sense as to like how much of your pipeline or those types of transactions that you're just harvesting from the existing assets?
Bill Lenehan: It's been de minimis to-date, but we're always working on the edges to find accretive things to do. Just yesterday, for example, Patrick showed me an opportunity to buy some adjacent land to one of our Darden properties, doing something helpful to our tenants and economically advantageous for ourselves. We have nearly -- we're getting close to 1000 properties. So those opportunities are more apparent today than they were at inception.
Operator: The next question comes from Sheila McGrath of Evercore.
Sheila McGrath: 2021 was an active acquisition year, just wondering about the programmatic opportunities like you had with the mall landlord? Are there more opportunities in that vein? Or was that just because of a distressed time? Just wondering.
Bill Lenehan: Actually, it's interesting, Sheila, we have a number of those kinds of transactions in sort of the pipeline today. So you'll hear more about that in next quarter would be my guess. So it's an ongoing process. We really like those properties, liquidity -- providing liquidity to folks who are in the mall space or acquiring shopping centers has been a good deal for them a good deal for us. The properties are well suited for our portfolio and have performed well and performed exceptionally well during COVID.
Sheila McGrath: Okay, great. And then, the highlight, I think Gerry mentioned that you're now 10% ground leases. That's an interesting addition to the disclosures. Just curious, are you sourcing those opportunities from the team acquisition pools? Or do you have to search those opportunities elsewhere? And if when you aggregate a bunch of ground leases like that, just curious, like, if you were to sell a portfolio, what the cap rate would be, in your opinion versus where you're buying the ground leases?
Bill Lenehan: Yes. So, Sheila most of those are sourced in the outparcels strategy. I mean, the way I look at it, our Darden leases, their ground leases, but for the fact they don't say the word ground at the top of the lease, right, they have very low rents, very high coverage, very low rent to sales. As far as the exit cap rate, I'm probably not going to speculate on that. But we do think we're buying these, smartly, and they're very safe. So yes, we're very happy. They're hard to do Sheila. I mean, that's the -- I'll give Jim Brat or Chief Transaction Officer a ton of credit. They're just hard to do. It's a lot of work to put out a $1, $2 million, but over the long-term, it'll serve was really well.
Sheila McGrath: So the coverages Bill on those would be more similar to the Dardan. coverages is that right?
Bill Lenehan: Yes. I would suspect it'd be very similar, just very low rents, very low rent sales, very high EBITDA coverage. And tenants that are heavily invested because they've built the building.
Sheila McGrath: Okay. And last question on the restaurant. Just curious what you're observing, because everybody talks about the labor challenges, but you turned pretty positive. Just wondering, how your operation is managing the labor challenges.
Bill Lenehan: It's almost unfair. Our Kerrow subsidiaries is run by Carol Dilts. She is an exceptional business person and does a tremendous job. We are feeling it like everyone else. But she does a tremendous job running that division, we're now up to seven restaurants operating in a very strong manner. So it definitely – labor, food inflation, are very real steak as a subcategory of casual dining has been affected more than average. But she is doing an incredible job. And you will notice a large pickup in profitability, year-over-year.
Operator: The next question comes from Rob Stevenson of Janney.
Rob Stevenson: Bill, more than 60% of your 2021 acquisitions were non restaurants and they were 30 to 40 basis points, higher cap rates. When you look in 2022 and forward, what's the right mix in terms of restaurant acquisitions going forward? And what sort of driving you to restaurant deals at this point? What's the overriding factor that you want to do more of those today versus higher cap rate acquisitions that diversify the portfolio?
Bill Lenehan: Great question. We have a long history and deep relationships in the restaurant business. We feel like the restaurant acquisitions we're doing are very high quality, and we want to be there for our tenants as they grow. And I think you will see that a number of the acquisitions we made in 2021. In the restaurant space, were with existing relationships that we've nurtured over the years. As far as non-restaurant acquisitions, we are glad we made the decision pre-COVID to expand our aperture, specifically to medical retail and auto service, especially auto service that does not involve the combustion engine. So we're always looking for other sectors that we find attractive, we keep detailed lists, and review them quarterly with our Board to try to have as sensible and wide of an aperture as we can. The cap rates for non-restaurant properties that are slightly higher are, in our view, fairly deserved, we are taking different sorts of risks. And those cap rates are appropriate. So we don't feel like we're getting a free lunch there. I would also comment and I'm trying to keep my comments brief, that the run of the mill medium quality QSR cap rate today is very low. And that cap rates even for casual dining. And I would add even casual dining that did not have a consistent payment record during COVID is similarly very low. So you will see us sell some properties this year. And we would expect the cap rates to be quite accretive to our trading cap rate.
Rob Stevenson: Okay, because that was my next question in terms of the acquisitions that you guys talked about sort of teeing up for the year are those offense or those defense so it sounds like more, you're taking the low cap rate bid, more so than finding, tenants that you don't want to be in business with going forward is that accurate or is it a mix? What's the overriding characteristic of the dispositions that you're going to do in 2022?
Bill Lenehan: It's a mix. And in some cases, it's both.
Operator:  Our next question junk comes from John Massocca from Ladenburg Thalmann.
John Massocca: So I do appreciate the new disclosure that was given on kind of cap rates kind of bifurcated amongst the restaurant and non-restaurant. Thinking I mean, both categories as we look out to 2022. I mean, is that cap rate that you kind of were able to achieve on the 2021 acquisitions in both buckets going to be relatively stable in your mind going forward, at least in the near term this year? Or is it, we've seen kind of further cap rate compression, either in restaurants specifically or in both categories?
Bill Lenehan: I think you'd probably see cap rates go down a little bit, John, but not a ton. Some of our competitors, you're seeing a lot of cap rates in the mid fives. And we haven't been interested in doing that. But I think cap rates will come down a small amount. For us, every basis points is like twisting our arm, half a turn. But that being said, we want to remain competitive, and it is still quite accretive for us to acquire cap rates that we're acquiring assets at. So slightly lower would be my general guess. I mean, I think Pat made a very, very interesting comment in his prepared remarks, which is what will the second half the year look like? And I don't know, nor does anyone else. But if you look at what's happened with the risk free rate, one would presume that the second half of the year may have a different cap rate regime than the current.
John Massocca: And then a question kind of related to what we've been talking about, specifically, because you tend to buy more granular assets. And you see any change in demand from the 1031 market over the last, say, six to nine months, given some of the lack of changes, let's say and legislation out there?
Bill Lenehan: Not really. There's been way more in the trade regs than what we've been feeling on the ground.
John Massocca: You mean even more press from 1031 buyers or –
Bill Lenehan: There is just more press about regulatory Yes, just more press around regulatory change. And that really didn't come to be. If anything, if you're looking for a macro trend, what we're hearing is, some fatigue amongst older franchisees and older business operators, given the complexity of the COVID operating environment, and high multiples have led to franchisees who are staring down generational ownership transfer to simply sell. And so we're seeing some deal flow from that dynamic.
Operator: Nothing further in the queue. . As we have no further questions, I'll hand back to the management team for any closing remarks.
Bill Lenehan: Well, thank you, everyone for attending an astoundingly long 29 minute Four Corners conference call. We won't let that become our practice. We are here for questions if anyone would like follow-up. Thank you for attending.
Operator: This concludes today's call and thank you very much for your attendance. You may now disconnect lines.